Operator: Good morning, ladies and gentlemen. Today is Tuesday, December 16, 2014, and welcome to the Butler National Corporation Second Quarter Fiscal 2015 Financial Results Conference Call. [Operator Instructions] Your call leaders for today's call are David Drewitz, Creative Options Communications; Clark Stewart, President and CEO; Craig Stewart, President of Aerospace Group.
 I would now hand the call over to Mr. David Drewitz. Mr. Drewitz, you may begin. 
David Drewitz: Thank you. Good morning, and happy holidays to everyone. Before Mr. Stewart begins, I would like to draw your attention to: except for historical information contained herein, the statements in this conference call are forward-looking and made pursuant to Safe Harbor provisions as outlined in the Private Securities Litigation Reform Act of 1995. Forward-looking statements involve known and unknown risks and uncertainties, which may cause Butler National's actual results to -- in future periods to differ materially from forecasted results. Those risks include, among other things, the loss of market share through competition or otherwise; the introduction of competing technologies by other companies; new governmental, safety, health and environmental regulations, which could require Butler National make significant capital expenditures.
 The forward-looking statements included in this conference call are only made as of the date of this call, and Butler National undertakes no obligation to publicly update such forward-looking statements to reflect subsequent events or circumstances. Important factors that could use -- that could cause actual results to differ materially from the expectations reflected in the forward-looking statements include, but are not limited to, factors described under the caption Risk Factors in the company's annual report on Form 10-K filed with Securities and Exchange Commission. 
 With that completed, I would like to turn the call over to Mr. Clark Stewart. Mr. Stewart? 
Clark D. Stewart: Thank you, Mr. Drewitz. Good morning to everyone. Appreciate you taking your time to dial in on this call, and we wish you all a happy holidays from all of us at Butler National. We thank you very much for that.
 We've had a tougher quarter than we expected to have this second quarter, but we did so much better than we did a year ago that we're -- I guess, we have to be pleased. Revenue is down about 5.2% from quarter 1 this year, but it's up 8.8% from the prior year, and we're pleased with that. We have increased revenue at Aerospace, $3.3 million to $4.3 million, which is a good increase. Professional Services down slightly, and profit is up considerably at Professional Services -- basically the casino, from the prior year. So we're pleased with that. 
 The 6-month overall Professional Services, like I say, down 5%; Aerospace up 52% for the 6 months, total 11% above last year, which is a good sign that the only thing wrong with all that is we were less efficient, and our job mix at Aerospace was not what we would like to have it be, and as a result, we didn't make near as much money as we'd like to have made. We're correcting some of that. Some of that's our scheduling. Some of it is just the luck of the draw as some of the smaller jobs mixed in with the big ones caused us a real scheduling problems with the labor force and to sell these, and that's kind of what we're experiencing here this quarter. But Professional Services, like I say, down 4% in the cost, Aerospace up 35% in the cost, and the result is what you saw in the press release, which is a net income of $29,000 versus a loss the previous quarter -- previous year of $345,000, which is a good improvement, but it's not what we need it to be.
 Our data, of course, continues to be reduced, which I think is necessary for us in the mode we're in trying to take the action we want to take on the casino side of the business. But we still continue to spend a considerable amount of money on product research and development, which is necessary to perpetuate the Aerospace business. We have lots of opportunities coming up, probably more than we could deal with there as far as development of new products. The list is long. We need to be making some press releases here in the next month or so as to the new opportunities we've developed. And as soon as we get FAA approval, probably after Christmas, we'll be making some of those press releases. And we think we're -- I'm optimistic about our opportunities. I think we're in good shape. 
 As you know, when you look at the numbers, marketing is relatively flat at about $2.3 million. Most -- a lot of that money is spent, of course, in the promotion of Boot Hill and the western heritage of Western Kansas, and the 300-mile market area around the casino. Benefits, depreciation, amortization and generalization -- or general administrative costs in total in 2003 [ph] were about $5,020,000; this year, $4,825,000. So we're down about 4% in those overall -- overhead costs, if you will. We're trying to continue to reduce that, and we will make strides in that as time passes here.
 Our employment numbers at this point totaled about 335 at the end here in October, 87 people, not necessarily FTEs, but people at the Butler National and 238 at the casino. That's up about 8 people from last year at this same time. We still have a problem finding available workers in the aerospace side of it and available space for the multiple vacant little jobs that we seem to be generating. 
 Our backlog at this point is about $5.9 million, approximately 4 months of revenue in Aerospace. Last year -- or last quarter in September, it was $4.4 million, and we -- a whole lot better than it was a year ago. So I think we're feeling like the market is at least holding its own and getting a little stronger. We have lots of opportunities, most of them out of the United States, which makes our administrative and support costs a little higher than we'd like, but we do appreciate the business, and it's a lot better than the other alternatives. So we're all -- we're pleased with the quarter even though we didn't turn in the income we wanted to turn in. 
 As far as old business we've discussed in the past, I would report -- I told you we would report on any developments relative to the casino project. And I would tell you that we're in the process of doing some refinancing of the current gaming operations. The first step, as you know, is underway to do that. We have a cost-reduction program. You can thank our manager -- our management staff out there for great work, and we reduced the cost. As you noticed, the revenue went down and the profit recovered about $300,000. So that's good.
 Our refinancing is to get our interest costs more in line with the current markets, and we expect that to take a couple, 3 months to get that complete, and then we'll be ready to move on to step 2, and -- which is the -- attempting to acquire the asset from our partners. We're all aware of this. There's no conflict between us and our partner. We're -- we have a good working relationship, and we share all the information.
 The other question was the 401(k) share match. The date for the establishment of the value is December 31. Usually, the physical match is made at the end of April, and whether it's shares or cash, we'll be pretty much dependent upon the legal aspects of it plus the cash available at the time, and so we'll see what all that looks like. We have a number of things that are -- we cannot discuss that are going to affect that K situation by that time. So we are working towards that, and I wanted to report on it.
 As far as new business, there's a number of opportunities available in the ISRN [ph]. That's the spy business, so to speak. We have some major rework of airplanes coming in the aviation industry and the general aviation, which will involve thousands of airplanes to comply with the ADS-B communication both in -- to the airplane and from the airplane relative to flight plan status, traffic, weather, all those kinds of things. All the airplanes that are flying today that want to continue to fly will have to comply. We see it as a great opportunity for us in the Aerospace side to work on that, and some of this R&D is being spent on that and probably will be more of it spent as we expand the coverage of our product line. We have 1 airplane equipped as it should be that we have been flying and it's approved, and we've just got to expand the coverage.
 So I believe that covers kind of a quick overview of where we are and gives you a feeling of our failing as far as the market goes and how we're performing. We are making corrections to make ourselves more profitable, I can tell you that, as we speak. 
 And so now I think, David, I'm ready for questions. 
David Drewitz: All right. Erica, let's turn the call over to some questions? 
Operator: [Operator Instructions] Our first question comes from Timothy McMillan [ph]. 
Unknown Analyst: Couple things. One comment. On the ESOP plan, I just hope we can do something to stop the dilution. You can look at our announcement there, and within the last 2 years, we have had a dilution of over 3 million peers [ph] in just 2 years. And I know that's reflective of the stock price, but still, I think it hurts the promotion of the stock, and it certainly doesn't help the present shareholders. So that's just a comment, and you have addressed that, and I hope you can do it in as good a way as possible. This drop in oil and gas prices, is that going to reflect possibly on your business potentially or not? 
Clark D. Stewart: In the business as we know it today, probably not. The -- remember, we're pretty much -- we're in intelligence-gathering airplanes that are used, as you well know, for the surveillance of all kinds of things. And those are primarily paid for by government contracts, big contractors. Fuel prices don't affect those -- them a whole lot. What does affect them is the efficiency of the airplanes and the range and the time on station, all that kind of thing. I think the place that, that would help us the most is a positive attitude by the government toward the airplane industry, and I think that eventually will come. The fuel prices coming down will help us a great deal with the ADS-B products that are going to be required on all general aviation airplanes. And that -- there's a lot of opportunity there for a lot more flying activity. As you know, we're short on pilots nationwide. And as the flight training and all the rest of that will help, but that could be a crisis, and I don't know how that works either. But the answer to your question is yes, we should be positively influenced in our Butler Avionics segment where we intend to address this ADS-B situation. And Mr. Reedy, you could tell them what ADS-B stands for, if you know. 
Christopher Reedy: Automatic Dependent Surveillance-Broadcast. 
Clark D. Stewart: Oh, good. There you are, Tim. That's what it is. 
Unknown Analyst: Good. As far as the casino goes, you've been talking about your busing program. Are you seeing clear benefits from that? And do you see more coming your way? 
Clark D. Stewart: Yes, we are seeing more benefits as -- and if you don't know the numbers, but you could look at the state numbers and you'll see our November revenue is up significantly like 8%, 9% from a year ago and from -- and really 6% from the previous month, and that's, of course, reported every month by the state. But the bottom line there is yes, that's helping, and the other thing that's helping the casino revenue is the fact that it's raining and we've got moisture out there, and the attitude of the farmer is much better, the agriculture market. And then they -- so now they've got to have time to come in to play and patronize the casino. But I think the attitude has turnaround significantly from a year ago when it was drought and gloom and doom and so on. So I think that's a positive thing. And the answer is yes, the buses are definitely helping. They get us activity on the floor. We're doing a number of promotional items that you'll see in the next 2 or 3 months as that continues to develop the western heritage image, which we're trying to support to drive people to Southwest Kansas. That answer your question? 
Unknown Analyst: Yes. Now I assume you're really emphasizing reducing your long-term obligations, though, we're still not showing a profit you like to -- that we'd all like to see. Is your potential financier -- do you think they're happy with where you are right now? Or is that up in the air? Or do you think you're making the progress they want to see in order to finance this buyout of the partner? 
Clark D. Stewart: Well, we've got a number of them wanting to do this, so yes. The answer is that we needed to turn around in the casino revenue, and I think we've got that. We'll also -- we're actively -- we're actually in the process of reviewing documents on the Phase I piece of this thing. So yes, we're moving forward. 
Operator: Our next question comes from Mike Melby [ph]. 
Unknown Analyst: Just first, I want to confirm I saw the November casino revenues were higher, and that's a trend that sounds like you expect to continue going forward. 
Clark D. Stewart: Yes. We expect to continue going forward, but we also have unusual -- remember we're dependent on spendable income, excess income after the family needs are met, and these are entertainment dollars. And so as the forces of the economy, let's say, that change back and forth, that affects that casino revenue. And we see downturns for 2, 3 weeks at a time and then all of a sudden, recoveries. And it describes to us an unstable market, I guess I would say. I want to say the families are not all positive that everything is going to be great long term, so they tend to not spend any money, and then they finally feel a little better and then they spend a little money. And it's really hard to tell. You can't get really good year-over-year comparisons or even month-to-month comparisons. When you look at all the numbers, they're pretty screwy. One area of the state and part of the Midwest will do real well for a month or so, and then it does real bad. So I mean, even in the state revenue, if you looked at last month, we were up, Kansas City was up, the casino down by Wichita was down significantly. So -- and it doesn't tie together very well. It doesn't make a whole lot of sense. So the answer is yes. We think we're going up. I would have to caution you to tell you, we really don't know for sure. 
Unknown Analyst: Yes. And I guess lower gas prices can't hurt at all there, either? 
Clark D. Stewart: Lower gas prices help that situation. Got more disposable income, which is what... 
Unknown Analyst: And when you talk about refinancing the notes, are these kind of 12% and 15% notes BHCMC? 
Clark D. Stewart: Yes. 
Unknown Analyst: And so those are really [indiscernible], I guess. 
Clark D. Stewart: We're working on refinancing those, yes. 
Unknown Analyst: And you talked about it a few times, but I was hoping you could maybe give a little more clarity on just your philosophy on buying out your  partner, and that would allow all the profitability to flow for you -- to you, but we'd also have to pay a price for that. So maybe if you could provide a little bit on how you think about overpaying for the asset and timing it appropriately and maybe a little bit on how you think about the casino.
 [Technical Difficulty] 
Operator: [Operator Instructions] At this time, there are no further questions. 
David Drewitz: We still have Clark and Craig? 
Operator: It appears they dropped off. 
David Drewitz: Okay. 
Operator: We can get them in a second, if you'd like to wait to see if they dial back in. 
David Drewitz: Yes, let's give them another minute or 2 to see if they can call back in for closing statements or any additional questions. 
Operator: They are back on with us. 
Clark D. Stewart: All right. Sorry about that interruption, we have a whole bunch of phone trucks out here putting in somebody's fiber optic cable, and I think maybe they didn't pay any attention to us talking on this conference call. So I apologize for that. But now the answer to the question I was giving to you, do we think that we're -- that the gas prices help our casino business? The answer is yes. Then we were talking about the refinancing of our partner and the buyout of our partner and basically what we've said in print is all we can really say there. We're not at the point where we've come to any agreement of any kind that can be published. 
David Drewitz: All right. Any other last questions? 
Operator: [Operator Instructions] There are no further questions at this time. 
David Drewitz: Very good. Clark, would you like to give any closing statements? 
Clark D. Stewart: No. I would thank all of you for your patience in dealing with us and the phone company here. We appreciate that, and we hope you all have a great holiday. And we're looking forward to a lot of positive things here in the next 6 months or so. Thank you very much for your time. Thank you, David. 
David Drewitz: Thank you, everyone. Happy holidays. Merry Christmas and a great New Year. 
Operator: This concludes today's conference call. Thank you for attending.